Operator: Good morning. My name is Sharon and I will be your conference operator today. At this time I would like to welcome everyone to the TimkenSteel’s Fourth Quarter 2018 Earnings Conference Call. [Operator Instructions] Thank you. Mitch Byrnes, Senior Manager of Investor Relations, you may begin your conference.
Mitch Byrnes: Great. Thank you. Good morning everyone and thank you for joining us. I'm here today with; Tim Timken, Chairman. CEO and President; as well as Kris Westbrooks, Executive Vice President and Chief Financial Officer to discuss our fourth quarter and full year 2018 financial results. During today's conference call we may make forward-looking statements as defined by the SEC. These statements relate to our expectations regarding future financial results, plans and business operations among other matters. Our actual results may differ materially from those projected or implied due to a variety of factors which we describe in greater detail in today's press release, supporting information provided in connection with today's call and in our reports filed with the SEC all of which are available on the TimkenSteel website. Where non-GAAP financial information is referenced, we have included reconciliations between non-GAAP financial information and its GAAP equivalent in the press release and/or supporting information as appropriate. Today's call is copyrighted by TimkenSteel Corporation and we prohibit any use, recording or transmission of any portion of the call without our express, advance written consent. With that now I'd like to turn the call over to Tim.
Tim Timken: Thanks Mitch and thank you all for joining us today as we wrap up 2018 and begin to talk about the year ahead. TimkenSteel earnings have continued on an upward trajectory for three straight years. We've remained focused not only on taking advantage of more favorable market conditions, but also on taking strategic actions to improve customer service, pricing and product mix. We are confident that our journey to improve the company's performance is on-track so let me break some of that down for you. First, everything begins with people. 2018 was the safest year in our history, even as we added new employees and increased production. I'd like to offer special congratulations to a team from our Material Services facility in Houston, who won our Golden Glove Award in 2018 for implementing a hand safety idea. The Golden Glove program has generated more than 80 new hand safety practices in the four years we've had it in place and during that time we've reduced hand injuries by 35%. Operationally in 2018, we also sharpened our customer service. We're known for the superior quality and performance of our product, but in 2018 we further improved quality performance and had record low customer claims. A steep increase in demand challenged our delivery performance in 2018, but we improved on-time delivery to more than 90% by the end of the year. Our plans also advanced our environmental goals. All six of our steel-making and processing facilities achieved ISO 14001 certification. We also reduced our Greenhouse Gas Emissions and energy intensity. In fact we are among the best steel facilities in the world according to World Steel's Environmental Measures. Safety, environmental responsibility, quality, service remain priorities for the company. Commercially, we also made strides. In 2018 we enriched the mix of our product we sold and improved our margin by focusing on sales of some of our most profitable products. In fact, our compensation plans for employees was in part based on sales of products for what we call our key process paths. We also made enhancements to our value-added and long product business models which will position us well for future growth. Pricing also improved. We implemented seven spot price increases last year and negotiated improved contract pricing for 2019. We also benefited from the U.S. government tariffs on large bar imports, although overall overcapacity still remains an issue particularly in seamless mechanical tubing. We increased our business development pipeline entering new higher growth spaces. We had shared gains with our rich alloy products that outpaced the market. We also advanced several significant value-added programs including pending awards from automotive customers for light truck, hybrid and electric vehicle transmission components. In many ways, 2018 was a great year for TimkenSteel. The positive structural changes we made will have sustainable impact on our performance going forward. Unfortunately 2018 also had some headwinds which dampened our financial performance. We encountered unplanned maintenance and inflation in consumables that impacted our financial results, but a concentrated focus on continuous improvement helped to partially offset those expenses. We finished 2018 strong and exceeded guidance in the fourth quarter for both ship tons and adjusted EBITDA. We're prepared to carry that momentum into an even better 2019. As we moved into the first quarter, we continued to have good operational performance in customer service. At the same time, we anticipate some planned downtime to balance inventories, both our own and what's out in the marketplace and this will come with added costs. We’re also seeing decreasing scrap and alloy indices that will affect raw material spread. The big question on everyone's mind is what's going to happen in our key markets in the second half of 2019. Our markets continue to perform well, but we also are noting some caution in our customer-base particularly around inventory levels. Indicators today lead us to expect general, industrial and mining to continue to grow. We're seeing growth in rail and military markets in which we're also gaining market share. SAAR remain stable, however production of both light truck and SUVs which are sweet-spot in the automotive markets continue to grow. In energy, we see an increase year-over-year on drilling activity, U.S. rig count and starts of new wells. Customers are actually even beginning to talk about offshore activity again, something we've not heard since 2014. We anticipate energy customers will be managing inventory levels, particularly in tubing, in the first half of the year, but we anticipate a better second half of 2019 in the energy markets. Our first quarter 2019 guidance reflects some of the customer caution that I mentioned, but we feel good about the remainder of 2019 given the overall positive market indicators. Of course we will continue to monitor global economic indicators for any change. As we look for -- as we look to 2019 and beyond, we are clearly driven by a long-term vision to operate effectively at all points of the economic cycle while we grow the business. This vision is guiding the decisions we make today and it begins with putting people first. Our competitive edge is based on industry-leading design, quality production and technical sales and service teams. From safety to leading workforce policies, our priorities are aligned on keeping our employees engaged and committed to our vision. Second, we're working to improve the core business. In 2019, we launched project sound-center, a multi-year initiative to ensure that the fundamentals are in place to realize our future goals. The project name was inspired by the sound center core of our large steel bars. We're applying the same thinking to the entire enterprise. The first phase already is producing tangible results. We've made improvements to customer service processes and systems, demand forecasting and master planning pricing and profitability. Third, we're moving towards sustainable growth, building on the strategies to enrich the mix of our products we sell, improve price and stabilize volume. We are driven to achieve top line growth. Our sales team is pursuing profitable growth opportunities in our most profitable markets while our business development team is evaluating expansion into new areas. I join our Board of Directors and leadership team in thanking our investors for the belief in this company and we want you to know that we're clearly driven to generate even greater shareholder value in the coming year. Now Kris is going to take us through more details on the numbers and then we'll take your questions. Kris?
Kris Westbrooks: Thanks, Tim, and good morning, everyone. I'm pleased to report that fourth quarter 2018 results exceeded guidance and the prior year. Our team stayed focused and disciplined to close the year strong, despite normal seasonality and customer inventory balancing. Fourth quarter 2018 net sales were $406 million, a $65 million or 19% increase from the prior year comparable quarter. Higher net sales were driven by a 10% increase in base sales per ton from improved price and product mix as well as higher surcharge revenue. On a GAAP basis, the fourth quarter 2018 net loss was $40 million compared with the fourth quarter 2017 net loss of $34 million. Excluding pension re-measurement adjustments, adjusted EBITDA was $26.7 million in the fourth quarter 2018, which exceeded our guidance range of $15 million to $25 million. Adjusted EBITDA of $8.2 million in the fourth quarter 2017 included $11 million of scheduled annual maintenance costs. You'll recall that we carried out our 2018 annual maintenance in the third quarter. Fourth quarter 2018 shipments of approximately 295,000 tons were 3% above fourth quarter 2017. Year-over-year improvement of 49,000 ship tons was a result of strong end market demand in energy industrial and mobile markets. Shipments to the energy end market increased 55% in the fourth quarter 2018 compared with the same quarter a year ago. Our oil and gas shipments recovered well in 2018, with an increase in the U.S. rig count despite volatility in crude oil prices. For first quarter 2019, we expect energy shipments to be similar to the first quarter of 2018, as customers closely monitor their current inventory on-hand. Industrial shipments in the fourth quarter 2018 were around the same as the prior year fourth quarter. As we expected, this end-market was impacted by normal seasonality in inventory balancing before yearend. For first quarter 2019, we expect shipped tons to our industrial customers to be lower than first quarter last year as traditional first quarter industrial strength has started this -- started slower than expected even though economic indicators remain positive. Our mobile shipments in the fourth quarter were about the same year-over-year. For 2019, the projected North America light vehicle production of 17 million units remain stable, and then for first quarter of 2019, we expect our mobile shipments to be slightly higher than the same period a year ago. Our mobile business continues to benefit from an increase in market share and the launch of new products. SG&A in the fourth quarter 2018 was $25 million and well-controlled at 6% of net sales. Operating cash flow as a source of $47 million in the fourth quarter of 2008, as a result of the company's improved financial performance and lower working capital levels. Capital expenditures were $22 million in the fourth quarter. As we invest in profitable growth opportunities we expect our full year 2019 capital spending to be approximately $50 million, an increase of around 20% from 2018. During the fourth quarter of 2018, we repaid $30 million on our credit agreements. Our available liquidity continues to be sufficient at $204 million as of December 31, 2018. For the full year 2018, net sales were $1.6 billion, which is a $281 million increase over 2017, primarily driven from improved volume, price, mix and surcharge. On a GAAP basis including the pension re-measurement adjustment, the 2018 net loss of $32 million compared with $44 million in 2017. Adjusted EBITDA for the full year 2018 was $105 million, a significant improvement of $36 million, or 52% over 2017. In 2019, we plan to build on our foundation with continued improvements in price, product mix and operating effectiveness while maintaining a best-in-class safety culture. For the first quarter, we expect shipments to be approximately 30,000 tons less than fourth quarter 2018 primarily influenced by reduced OCTG billet demand. Price will be improved over prior years. New contract pricing is in effect from the start of 2019, and we continue to benefit from the 2018 spot price increases. From a LIFO perspective, we're not currently forecasting a significant increase in the yearend reserve. Raw material spread is expected to be a headwind due to a decline in the No. 1 Busheling Index compared to fourth quarter 2018. Planned production downtime to balance inventory with short-term demand will unfavorably impact fixed cost leverage along with higher maintenance in consumable spend. As a result, we expect EBITDA in the first quarter to be between $20 million and $30 million. On a full year basis, we're expecting higher non-cash pension expenses of approximately $13 million in 2019 excluding the impact of the year-end mark-to-market pension re-measurement adjustment. The pension expense increase is a result of lower pension asset returns in 2018 and a higher assumed discount rate. More than offsetting the 2019 pension expense increase will be the full year benefit of improved pricing and product mix. To wrap up, 2018 has been a year of significant improvements and we're well-positioned going into 2019. Sharon, we'd now like to open up the call for questions.
Operator: [Operator Instructions] And your first question comes from Martin Englert with Jefferies. Your line is open.
Martin Englert: Hi. Good morning, everyone.
Tim Timken: Hi, Martin. Good morning.
Kris Westbrooks: Good morning.
Martin Englert: So in 4Q it looked like LIFO expense was pretty high like maybe $10.4 million, if that's correct? And then also if you could just circle back on your commentary as far as what's baked into your 1Q EBITDA guidance for LIFO?
Kris Westbrooks: Hi, Martin. This is Kris. Yes, LIFO was higher as we wrapped up the year and calculated at year-end required reserve primarily driven by the mix of inventory that we had on hand and the cost that came out of production in the year. And as we look forward to 2019, we're not seeing a significant increase in that overall reserve level and from an expense standpoint, not a significant amount there either. So, that's what the comments around LIFO were intended to mean.
Martin Englert: Okay. So, you would be baking in something though as far as an expense as opposed to LIFO income for the full year 2019 correct?
Kris Westbrooks: Yes, it's minor overall in terms of what's baked into 2019 given where we finished 2018 at a pretty high level.
Martin Englert: Okay, got it. Thanks for that.
Kris Westbrooks: You're welcome.
Martin Englert: And then as far as the 1Q guidance can you provide a little bit more detail regarding the scale of several of the cost headwind that you're facing such as the maintenance that you're planning scrap spreads and overall impact that you would expect from the reduced volumes there on EBITDA? And also do you still expect seasonal maintenance in the second half of the year?
Kris Westbrooks: Yes, so if we start with the first half of the question, we had higher manufacturing costs and as you know in the fourth quarter had that carryover impact from the third quarter of 2018. As we get into 2019, we're not seeing manufacturing being a significant headwind for us. We do still have some inflation that we're experiencing in the first half, but we hope to see that settling down as we get into the second half and maybe even softening a bit. We do have manufacturing maintenance scheduled. The annual shutdown is scheduled for the third quarter of 2019 and that will be at a similar level than we experienced in the third quarter of 2018. But as we mentioned we are looking to have some downtime here in the first quarter. It is balancing that inventory with short-term demand which comes at some cost because we'll be producing less tons. So, really a lower fixed cost leverage in the first quarter 2019 where we had pretty solid fixed cost leverage in the fourth quarter of 2018.
Martin Englert: Got it. And I guess why not pull -- is it just too soon to pull forward the maintenance if you're going to have downtime anyway in 1Q as opposed to letting it run in the third quarter of this year?
Tim Timken: Yes, we're doing a little of that on a selective basis where it makes sense. We're still planning to have our major outage though in third quarter.
Martin Englert: Okay, got it. All right. Thanks for all the color there.
Tim Timken: Yes, thanks.
Kris Westbrooks: Thanks Martin.
Operator: Your next question comes from Tyler Kenyon with Cowen. Your line is open.
Tyler Kenyon: Hey good morning.
Tim Timken: Hey Tyler.
Kris Westbrooks: Good morning Tyler.
Tyler Kenyon: Hey. We're just wondering if you could provide us any color just on the annual contracts, how those went this year? What proportion of your overall business you're anticipating in 2019 being on contract? I know that that has shifted a little bit and I'm speaking ex-billet. And then also just how to think about the timing of the realization of better contract pricing? I know last year I think there was a bit of a delay in the realization of contract pricing.
Tim Timken: Well, yes, Tyler, this is Tim. On the whole, I'd say we are very satisfied with the way the contract negotiations went. Obviously, we're in a bit of a different environment this year compared to last year when we were going through it. So, we think we achieved what we needed to achieve. We're running -- we're still running about 70/30 contract to spot and the bulk of that impact should be realized now going forward.
Tyler Kenyon: Okay. Thanks. And in 70 to 30 spot are you referring just to the value-added business, so excluding billet? Or including billets that you have now?
Tim Timken: 70/30 I believe includes billet, Tyler, if I remember right.
Tyler Kenyon: Okay. And just as -- while we're on the subject, any thoughts on kind of the strategy with the billet business right now or any update there?
Tim Timken: Sure. As we've said in past calls, we've reduced our dependency on billet going forward. When we originally signed up it was a pretty significant piece of business for us. We have reduced that exposure as other markets have improved. We think we've got it kind of about where we want it at this point. We've also broadened out the customer-base for that product. Initially we were pretty much dependent on one customer. We've realized over time that it makes sense to kind of broaden that out a little bit. So we are talking to a number of the OCTG producers here in the U.S. from a supply point of view. Obviously, you're probably thinking about the Fairfield announcement the U.S. Steel made here recently. It was fairly obvious that over time they would look to be less dependent on billet supply externally and more capable of producing that internally. So we've kind of factored that into our thinking all along from a billet strategy point of view. And so I think we're kind of where we need to be. Obviously, the OCTG guys are taking a little bit of a breather here in the first quarter. We're confident with oil where it is that that's just a breather that we haven't seen a structural step down and that things will improve throughout the year.
Tyler Kenyon: Okay, great. Appreciate that. And then just one last one from me, on the CapEx guidance the increase year-to-year I know you mentioned just in your prepared comments about some investments that you're making. Wondering if you could elaborate on those?
Ward Timken: Sure. We announced a $50 million budget. $30-ish million of that would be maintenance, CI, safety, environmental. We do have a little bit of growth capital built into that focused primarily on our value-add business. We've got a number of new automotive platforms that we're going to be bringing on here in the near future that requires some capital investment as well as some capability building investment in our long product business as well. So it's a nice balance between the maintenance side and the growth side.
Tyler Kenyon: Great. Thanks for taking our question.
Ward Timken: Thanks, Tyler.
Operator: Your next question comes from Phil Gibbs with KeyBanc Capital Market. Your line is open.
Phil Gibbs: Hi, morning, Tim, Chris and team. How are you?
Ward Timken: Hi, Phil. Great. How about you?
Kris Westbrooks: Great.
Phil Gibbs: Doing well.
Ward Timken: Great.
Phil Gibbs: In terms of 2018 and moving forward what -- how can we think about your mix versus bar and tube maybe from a volume perspective or maybe from a sales perspective in 2018? And whether or not you expect that to change here as we look into the new year?
Kris Westbrooks: You said 2018, you mean 2019 I assume?
Phil Gibbs: Well 2018 where we were coming from and then how that may change in 2019?
Kris Westbrooks: Oh, looking into 2019?
Phil Gibbs: Yes.
Ward Timken: Yes I would say that we've seen a little bit of softness on the tubing side off late. We think part of that is just end-market related. Some of the tubing consuming markets had been a little bit slower. We don't see a fundamental shift in the ratio between bar and tube, but obviously that's somewhat dependent on what we're seeing from an import point of view. I guess another piece of it too is when -- as we were struggling with our on-time delivery performance last year, we did give up a little bit of share. And as we've improved that in the latter half of 2018, we've begun to see that share come back. So that ought to help beef up the two business a little bit that we did see some weakness in.
Phil Gibbs: Okay. That’s helpful. And net working capital, Kris, as you're looking out into 2019 versus 2018 what's your expectation there?
Kris Westbrooks: Yes. So we built quite a bit of inventory in 2018. We're sitting at pretty high level so we'll work that down some in 2019, but as a percent of sales I see it about the same. I don't see us growing significantly in 2019 from a working capital standpoint. I feel pretty comfortable where we're at and we're going to try to optimize where possible, while still keeping that customer service number one in our mind.
Phil Gibbs: And last question, just here on the pension. Are you expecting to make any cash contribution to pension and/or OPEB in 2019? Thanks.
Kris Westbrooks: There's no material required contributions here in 2019 that we're looking to be making.
Phil Gibbs: Thanks, everyone.
Kris Westbrooks: Cool. Thanks Phil.
Tim Timken: Thanks Phil.
Operator: [Operator Instructions] Next question comes from Justin Bergner with Gabelli & Company. Your line is open.
Justin Bergner: Good morning, Tim. Good morning, Kris.
Tim Timken: Good morning
Kris Westbrooks: Good morning, Justin.
Justin Bergner: Just had a couple extra questions here. Just starting with the billet business, if we were to average sort of the fourth quarter shipments and what you've implied for the first quarter, just to average that over two quarters, is that a decent run-rate? Just, how to think about your billet shipments going forward as things look at this point in time?
Kris Westbrooks: Well, we talked about the weakness that we're seeing in the first quarter related to just the strength in the end-market for the OCTG guys. I would say fourth quarter is probably a better kind of run-rate level to think about. Obviously, that -- a lot of that depends on what's going on in the other markets, but certainly we've worked our exposure down over time to a level that we think is sustainable.
Justin Bergner: Okay. So the fourth quarter of the sort of 43,000 tons versus the low to mid 30,000 tons shipped in the second and third quarter, you think is indicative of where the market can sort of play out for TimkenSteel once things pick back up in the second half of 2019?
Kris Westbrooks: Yes, we think so.
Justin Bergner: Okay. Great. Secondly, I want to ask about the -- I guess, price mix in the fourth quarter. I guess, you saw some nice increase in base sales per ton sequentially in both the industrial and energy segments of your business or end-markets. Was that more price or was that more mix? And should we think about there being more room to go as we get into 2019? Or are those sort of good launching points for the price mix in those end-markets in 2019?
Tim Timken: Yes, I guess, the best way to think about it is that, it was kind of a 50-50 split between price and mix in the quarter. Obviously, as we reset contract pricing for 2019, we'll see the benefit of that immediately and then increasingly as we return to what we would think would be more normal volumes.
Justin Bergner: Okay, that’s helpful. And then you start off the call by talking about business development activities. Are you thinking mainly in terms of organic initiatives to address new markets with new products? Or are you thinking about anything inorganic at this point of view?
Tim Timken: I guess my comments were more focused on the organic successes that we saw in 2018 and that we expect to see the impact of in 2019. But as we said all along, we're continually looking externally for opportunities to grow as well. So we do have an active program to look at the inorganic side also.
Justin Bergner: Okay, thank you.
Operator: [Operator Instructions] We do not have any questions at this time. I'll turn the call over to the presenters.
Tim Timken: Well thank you very much for your questions today. The team at TimkenSteel is working hard to improve performance. We're pursuing a strategy to improve the core of this business and reach to new customers and applications that will benefit our value proposition. The bottom-line is we are driven to generate even greater shareholder value. I want to thank you all for your interest in this company. If you have any additional questions don't hesitate to contact Mitch Byrnes. Thanks for joining us today and have a great day.
Operator: This concludes today's conference call. You may now disconnect.